Operator: Good day and thank you for standing by. Welcome to the Weyco Group Third Quarter of 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, John Wittkowske, Chief Financial Officer. Please go ahead.
John Wittkowske: Thank you. Good morning, everyone and welcome to our third quarter conference call. On this call with me today is Tom Florsheim, Jr., our Chairman and CEO. Before we begin to discuss the results, I will read a brief cautionary statement. During the course of this call, we may make projections or other forward-looking statements regarding our current expectations concerning future events and the future financial performance of the company. We wish to caution you that these statements are just predictions and that actual events or results may differ materially. We refer you to Weyco Group's most recent form 10-K as well as the security and exchange commit -- excuse me, as filed with the Securities And Exchange Commission, as well as its other filings with the SEC. The Form 10-K identifies important factors and risks that could cause the company's actual results to differ materially from our projections. With respect to this ongoing COVID-19 pandemic, numerous factors will determine the extent and length of the impact on the company, including the extent and duration of the pandemic and its impact on the global economy. The extent and duration of the negative impacts on our supply chain, actions taken by governments, such as stay at home or similar orders that among other effects require retail store closures or limit foot traffic, the financial health of the company's customers and business partners, including the effects of any bankruptcy proceedings by such parties and the health and welfare of the company's employees. Net sales for the third quarter of 2021 were $61.8 billion up from third quarter of 2020 net sales of $53.2 million. Operating earnings totaled $6.7 million for the quarter compared with operating losses of $3.8 million last year. Net earnings rose to $5.1 million or $0.52 per diluted share from net losses of $5.9 million or $0.60 per diluted share in 2020. Last year's third quarter operating results were significantly impacted by the COVID-19 pandemic and included non-recurring charges totaling $7.4 million. As such, comparisons to 2020 may have limited utility and therefore we are including selected comparisons to 2019 as appropriate, overall net sales for the quarter rose to approximately 75% of third quarter 2019 sales levels. And the company's operating earnings for the quarter recovered to 80% of 2019 levels., In the North American Wholesale segment, net sales for the third quarter of 2021 were $50.2 million compared with $44 million last year, with sales up across all of our legacy brands. BOGS sales were down 8% for the quarter, mainly due to production and shipping related to disruptions in the global supply chain. There was a significant pickup in demand across all of our brands during the quarter. However, bottlenecks in the global supply chain caused delays in the receipt of finished goods from our suppliers, which constrained our third quarter shipments. We began to see increased deliveries from our suppliers in October, and we expect this improvement to continue through the rest of the quarter, which should help us meet the increased demand for our products. Wholesale gross earnings were 34.6% of net sales in the third quarter compared to 35.7% of net sales in 2020. The decrease in gross margins was largely caused by the increase in shipping costs that we are currently paying to bring product in from Asia. Due to a shortage of capacity in the supply chain, we are often paying premiums in order to get space on container ships. Last year's gross margin also included $500,000 in non-recurring charges. Selling an administrative expenses were $11.3 million for the quarter compared with $13 million in 2020 and $14.9 million in 2019 third quarter. Third quartet 2021 expenses were reduced by approximately $1.9 million of wage subsidies received from the U.S. and Canadian governments. It is not known at this time whether those wage subsidies in the U.S. will be available in the fourth quarter of 2021. Third quarter 2020 expenses included $1.5 million in non-recurring charges. Wholesale operating earnings were $6 million in the third quarter of 2021, up from operating earnings of $2.8 million in last year's third quarter due to higher sales and lower selling and administrative expenses. Net sales of the North American Retail segment were $6.3 million in the third quarter of 2021, up from $4.4 million in the third quarter of 2020. Same-store sales rose 49% for the quarter due to a 33% increase in e-commerce sales in higher brick-and-mortar sales. Last year brick-and-mortar same-store sales were down significantly as a result of the pandemic. The company closed three unprofitable retail stores in the third quarter of 2020, and currently has just four active U.S. brick-and-mortar locations. Retail net sales for the third quarter surpassed second quarter -- third quarter of 2019 levels by 22%. While most of this increase was driven by e-commerce growth, brick-and-mortar sales at the company's four remaining locations also exceeded their 2019 levels. The Retail segment had operating earnings of $1.4 million for the quarter, up from operating losses of $2.8 million last year and earnings of $365,000 in 2019. Last year's losses included $2.6 million of non-recurring charges. Retail earnings have improved due to the benefit of closing unprofitable stores, improved performance at active brick-and-mortar locations and higher e-commerce earnings. Our other operations, which include the wholesale and retail businesses of Florsheim Australia and Florsheim Europe had net sales of $5.3 million for the quarter compared to $4.8 million in 2020 and $9.5 million in 2019. The increase was at Florsheim Australia, where sales were up in both its wholesale and retail businesses, partially offset by lower sales at Florsheim Europe, as the company is in the final stages of winding down this business. Last year's third quarter sales were down significantly [technical difficulty] as a result of COVID related shutdowns. Business recovery in Australia has been hindered by a large number of Florsheim Australia's retail stores being closed for a majority of the quarter due to lockdowns imposed in New South Wales and Victoria. Stores in New South Wales have begun to reopen in October, and we currently expect that all of our stores in Australia will be allowed to reopen during the fourth quarter, absent adverse COVID-19 developments. Collectively Florsheim Australia and Florsheim Europe had operating losses of $682,000 for the quarter compared to operating losses of $3.8 million in the third quarter of 2020 and losses of $1.4 million in 2019. Last year's third quarter losses included $2.8 million of non-recurring charges. The improvement in 2021 was largely due to improved performance in Australia. The company's income tax provision totaled $1.9 million for the quarter compared with $2.1 million in the third quarter of 2020. Last year's tax provision included $2 million of tax expense related to the write-off of deferred tax assets of the company's foreign subsidiaries. At September 30th, 2021 our cash, short-term investments and marketable securities totaled $45.4 million and there were no amounts outstanding on our revolving line of credit. During the first nine months of 2021, we generated $9.7 million of cash from operations. We invested $15.2 million in short-term investments, paid $6.9 million in dividends and repurchased $1.5 million of our company stock. We also spent $2.6 million to acquire the Forsake brand and had approximately $607,000 [ph] of capital expenditures. We estimate that 2021 annual capital expenditures will be between $1 million and $1.5 million. On November 2nd, 2021, our Board of Directors declared a cash dividend of $0.24 per share to all shareholders of record on November 29th payable on December 31st. I would now like to turn the call over to Tom Florsheim, our Chairman and CEO.
Thomas Florsheim: Thanks, John and good morning everyone. We are excited about the trajectory of our business and we are seeing record demand across all brands. While wholesale sales were down versus 2019 due to the bottlenecks throughout the supply chain, the fundamentals of our business are quite strong. We anticipate improved inventory flow through the fourth quarter and should be well-positioned to end 2021 with good momentum. Our BOGS wholesale business was down 8% for the quarter. The decrease entirely reflected production and shipping delays from our factory base in Asia. Sales across all BOGS category segments are robust as we enter the principal selling season for BOGS at retail. While deliveries are later than originally planned, our retail partners are working with us and we expect to be in a much better inventory situation as we had towards the holidays. The outdoor boot category has been a bright spot throughout the pandemic. And BOGS has benefited from increased consumer interest in the brand. While our BOGS classic weather boot sales remained the foundation of the business, we are enthused about the significant progress we have made toward developing a successful casual lifestyle business, which will offer additional growth opportunities moving forward. Regarding her legacy brands, Florsheim Nunn Bush and Stacy Adams all experienced strong performance at the retail level. Early in the pandemic, there was a spike in demand for athletic, rugged casual and comfort casual footwear, but substantially reduced demand for dress and dress casual shoes. With the rollout of vaccines in March and subsequent loosening of social and other restrictions, we began to see a shift back toward more refined footwear categories as consumers evaluated their closets for a return to the office and more formal social occasions. Retailers and brands were unprepared for the subsequent surge in demand. And we have been working to fill the pipeline and restock to normal inventory levels. The situation has been exacerbated by supply chain issues, especially in regard to transportation of finished product. While we are working through delays and chasing demand, we believe we have been in a relatively better inventory position that our competitors have and have gained market share within the category. We anticipate strong demand within the dress and dress casual market well into 2022 although, unpredictable pandemic developments could impact demand. While we are pleased with the resurgence of the traditional more refined footwear market, we're also encouraged by the ability of our legacy brands to expand into the casual, the true casual market with wider offerings of athletic inspired and outdoor oriented shoes. Our design and selling focus throughout the pandemic has been towards casualizing our brands, and we're having success both in getting new categories placed as well as with sell-throughs at the consumer level. As we move forward, our legacy business will have a more balanced ratio between dress footwear and truly casual reflecting the changing lifestyle trends and of course, pandemic world. In terms of our U.S. Retail segment, our third quarter sales were up 44%. As John mentioned, our four brick-and-mortar stores in the U.S. are performing well, exceeding sales from the same period in 2019. The majority of our growth driver was driven by the strong performance of our e-commerce sites with sales up 33% versus last year and 54% versus 2019 in the U.S. We continue to invest in building out our e-commerce platform to maintain our growth momentum. With the reduction in unprofitable brick-and-mortar stores and the increase in our e-commerce sales, our direct-to-consumer business is becoming a more important profit driver in the Weyco business model. Turning to our international performance. Renewed lockdowns in Australia and New Zealand impacted both retail sales and wholesale shipments in the third quarter, resulting in a temporary setback in our overseas business. As mentioned in prior conference calls, we have made good headway towards reestablishing profitability in our Florsheim Australia business, which encompasses the markets in Australia, New Zealand, the Pacific Rim and South Africa. Since the beginning of the pandemic, we have been focused on shutting or renegotiating unfavorable leases and leveraging our e-commerce platform. Unfortunately, the zero case tolerance policy in Australia and Auckland and the subsequent shutdown of stores in these markets resulted in a loss for the quarter. While we are disappointed with this development, the Australia market is now reopening stages, and we remain confident that we will ultimately reap the benefits of the changes made over the past year. Our inventory was $52.9 million at September 30th compared to $33.6 million at June 30th. These numbers include inventory that is left the supplier is paid for and is in transit to our distribution facility. Historically with transit times being approximately four to six weeks, the percentage of in transit versus on-hand inventory has typically been between 10% and 20% of our total wholesale inventory. With current transit times now running an excess of eight weeks and a large amount of inventory we have on order, in transit inventory was 56% of total inventory as of September 30th. The bottleneck is beginning to loosen up and we are now receiving a much greater number of containers than normal. This is welcome news, and we are encouraged that we will be in a position to fulfill much of an increased demand we are seeing in the fourth quarter. Our margins currently -- are currently being impacted by both higher factory costs, resulting from raw material increases and higher freight expense. As John discussed, our wholesale gross margins were down 110 basis points from 35.7% in the third quarter of 2020 to 34.6% for the same period this year. Much of our backlog for fall was covered at factory prices prior to the price increases, but we were unable to cover the large increases in freight. As we move into 2022, we have raised our prices to mitigate impact on our margins, but expect that we will continue to have some margin pressure at least through the first half of the year. As we move into the final stretch of 2021, we are encouraged that the strong demand for all of our brands continues and that our strategy to aggressively build our inventories is starting to pay-off. We continue to move the timeline up on placing our factory orders to try to offset both longer lead times and longer transit times. Also, we continue to place larger than normal buys to cover both our increased backlog and build our inventory levels for in-season [technical difficulty]. This concludes our formal remarks. Thank you for your interest in Weyco Group. And I would now like to open the call to your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Lewis [indiscernible]. Your line is open.
Unidentified Analyst: I was just wondering it's a good report. And you seem to be fairly optimistic about next year. A lot of people don't realize you're paying over 4%, which I assume will continue. You've got $5 in cash and a book value of about $20, which makes the company very financially strong. You mentioned -- and I haven't been a shareholder up until recently. You mentioned buybacks, are buybacks still in progress under consideration, or where do you stand in that manner?
Thomas Florsheim: They're still under consideration. We bought back stock earlier in 2021. In the most recent quarter we did not buyback stock. Our position on that is when we feel that the stock is under priced, we buyback. And I mean, clearly, we believe in the third quarter it was under priced. And we're looking at that again right now as far as what are our buybacks are going to be in the fourth quarter. So, we're going to continue to buyback stock. We have authorization to buy something like 250,000 shares of stock back. And so, we will be in the market buying from time to time.
Unidentified Analyst: In terms of the retail stores, how many retail stores do you have left in terms of brick-and-mortar?
Thomas Florsheim: Well, in the U.S., we only have four. The biggest presence that we have for brick-and-mortar stores is in Australia where we have over 30 stores. And then we have store -- shopping shops in Asia, mostly in Hong Kong and one brick-and-mortar store in South Africa, one in Auckland, and that's pretty much it. So the total number of brick-and-mortar stores is less than 50 today. And while we had a big presence of brick-and-mortar in the U.S. Going back, over the last decade, and we've slowly been closing them as leases have come up. We actually feel very good about where we stand today with the number of total brick-and-mortar stores, where -- it's really a struggle to be profitable in the U.S. we've reduced that number, all four stores we have right now are profitable. And our focus is on web -- on our website consumer direct. We're -- the financial model is different than in Australia, and we're still able to make money in brick-and-mortar. And the business that we have in Australia is very retail driven. So, we're going to continue to grow that business and possibly open additional stores. So, does that answer your question?
Unidentified Analyst: Basically, because I had the thought that perhaps you're going to eventually discontinue your Australia stores. And apparently what you're saying now is that's not going to be the case.
Thomas Florsheim: That is not going to be the case. The Florsheim brand is very dominant in Australia. We feel that the work that we did over the past year during the pandemic where we got out of stores that were unprofitable, renegotiated leases has put us in a much better position going forward. And we're still looking at opportunities to open additional stores there.
John Wittkowske: And in Australia, it's a very different market from the standpoint of wholesale versus retail for us. I mean, there's limited number of wholesale accounts there. There's a couple of large department store type accounts, but people still go to our stores to buy our product. That's really one of the main places. So, we're focusing on that and supplementing that with our website down there, which is starting to take off a little bit as well. So, we really think that in Australia retail is the -- is really the way the distribution is going to be in the long-term down there for us.
Unidentified Analyst: How do you feel about your online sales? I know you're increasing them. How do you go about making them more dynamic?
Thomas Florsheim: When you say making them more dynamic, what do you …?
Unidentified Analyst: In other words, if you're increasing 20% a year, how do you get to 50% online? I mean, how do you get your exposure?
Thomas Florsheim: Yeah. I mean, we have been investing a lot in our website. And the way that you get more customers is through different tools and we're investing in those tools. And the growth that we've had on the web over the past few years is actually been that strong. And we think that it's harder as you grow the base to have the big percentages -- big percentage increases, but we did grow at 33% versus last year 54% versus 2019. And we continue to hire people in analytics and front end and backend web development. And that really is where we're investing a lot of our resources right now, because we see the consumer direct model through the web in the U.S. is being very critical to our future. And we are pleased to see that our profitability in retail has grown. And though we had operating earnings of $1.4 million in retail in the U.S. this past quarter, which is a record for us. It is kind of amazing when you think about it, because that comparison goes back to when we had 39 stores in the U.S. and a website. So the website is really grown. It's very profitable, and we've reduced the brick-and-mortar count to four stores. And because the brick-and-mortar was less profitable, that's really helped our overall profitability. So to answer your question, we're going to just continue to invest in it, and we're committed to trying to continue to drive that growth. We think that there's still a lot of room for growth.
Unidentified Analyst: In terms of subjected growth, you've got $5 in cash at least, that's what I can see online. Is there any thought to any additional activity in an acquisition area?
Thomas Florsheim: John, do you want anything to add?
John Wittkowske: Sure. Yeah. A couple of things on the cash balance. Just -- I mean, it's maybe a little bit of a roundabout way to answer your question. In a nutshell, yes, we're always looking for acquisitions and we think that as a result of, call it, the pandemic and everything that's happened there, some of those might -- some things might come available the next year or two. We don't know. We believe -- as you pointed out earlier, we're in very strong financial shape on the balance sheet. So, we've, number one, been able to withstand the last year and a half and come out of it, we think stronger. So, we're always looking. We're not going to frivolously go purchase something that will hurt us, but we are always in the market for that. We think that that type of growth is there. And as far as the cash balance, it's a little misleading in a sense that if you look at our inventories, you can see that we've had some decline in inventory because of the way the pandemic. Now we're building our inventory back up. And so that cash balance is fluctuating a little bit, and we're certainly over the next six to nine months going to be probably increasing our inventories, because there's a lot of demand. As Tom mentioned, it's been hard to get product in. So, a lot of our product is coming in and sold right away. So, we want to build those inventories up. But in a nutshell, we are always in the market for acquisitions, because we do think that we have a very good platform here and a lot of leverage that if we get the right acquisitions, we can make a lot of money.
Unidentified Analyst: Your activity, you said in your work -- in your -- in the information you've given us so far indicates that your boot business is doing very, very well. Now, is your main concentration going to be on in that area? Or it just happens to be an anomaly that because of the pandemic, maybe more people are outside.
Thomas Florsheim: Are you asking about future acquisitions or what we -- well, we were saying in the call is the BOGS business, which is really our only outdoor business, really held up well during the pandemic, because people were getting out and doing more active outdoor activities. That business has remained strong as people have come out of hibernation. And so, we do have interest in expanding our outdoor portfolio, which was driven -- which partly driven -- drove us to buy the Forsake brand, which is in that same category. That's a brand that we purchased earlier this year. That's a much smaller brand, but we're going to continue to look at acquisitions in the outdoor space, because that is a growing area of the business.
Unidentified Analyst: The years I've invested in companies such as yours, which a very low cap companies, many of them actually happen -- sometimes there's no trading at all in the stocks. However, what I have noticed is that every company that is in that type of position, once they start to really move along in terms of increasing their earnings and sales, has been discovered. And if I look at your company, you're trading maybe 10,000 shares of volume a day, and I wonder if there's any possibility that you can increase your interest in your company by trying to find additional or some analysts that will help out in terms of giving you more exposure to the financial community.
Thomas Florsheim: Yeah. We're open to suggestions in that area. In the past what we've found is that the stock just doesn't trade enough to really get much attention from analysts, because it just doesn't have -- they're going to cover companies that have the big trading volume a daily basis. And so, it's just hard to get their attention basically, but we're open to suggestions there.
Unidentified Analyst: Okay. Because that would certainly help. Somebody who's covering the company in terms of -- there was some analysts, that was projecting sales, but not earnings. If you look at the Yahoo bought -- that's where I saw that. And hopefully you'll be able to move. Do you do any type of investor relations in terms of conferences that you attend or, other opportunities in your industry to get exposure through that method?
John Wittkowske: There are some of those opportunities that have been out there. We have decided, or we decided not to do those as being not really valuable. We did do that. We did do that after we purchased Florsheim, which was a significant acquisition for us, a while ago. I think if the opportunity arose where we had something to really talk about, and I'll say a large acquisition or something that really materially changed our company, I think that there would be an opportunity to do that.  We're not sure on the -- on an ongoing basis, if it makes sense to do that. But the next time those things arise. We will take a look at that, but it might be a way to get a little bit of exposure to some other people. But right now with our float being so low percentage wise and volume wise, as Tom mentioned, we haven't really found that much interest in covering our company.
Unidentified Analyst: Okay. Thanks very much. I appreciate the answers.
Thomas Florsheim: Thank you for your questions.
Unidentified Analyst: Sure.
Operator: Thank you. [Operator Instructions] And I'm currently showing no further questions at this time. I'd like to turn the call back over to John Wittkowske for closing remarks.
John Wittkowske: Thank you very much for your interest in Weyco Group. And we will talk with you after the end of the year. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.